Operator: Welcome to the second quarter 2008 East West Bancorp earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s conference, Irene Oh, Senior Vice President of Corporate Finance of East West Bancorp.
Irene Oh: In a moment Dominic Ng, our Chairman, President and Chief Executive Officer, will provide highlights for the quarter. Then Tom Tolda, our Executive Vice President and Chief Financial Officer, will review the financials. We will then open the call to questions. First I would like to caution participants that during the course of the conference call today management may make projections or other forward-looking statements regarding events or future financial performance of the company within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We wish to caution you that these forward-looking statements may differ materially from actual results due to a number of risks and uncertainties. For a more detailed description of factors that affect the company’s operating results we refer you to our filings with the Securities and Exchange Commission including our annual report on Form 10-K for the year ended December 31, 2007. Today’s call is also being recorded and will be available in replay format at www.eastwestbank.com and www.streetevents.com. I will now turn the call over to Dominic.
Dominic Ng: Yesterday afternoon we announced preliminary financial results for the second quarter of 2008. We reported a net loss for the quarter of $25.9 million stemming from a provision for loan losses of $85 million for the quarter. Tom will summarize the financials later in the call and discuss some of the details of the financial performance. With that said I would like to put our results in context for you and discuss the business. The credit economic cycle has proven to be challenging for the entire financial services industry. The continuing deterioration in the overall economy, the difficulties faced by Fannie Mae and Freddie Mac and many financial institutions have all increased the volatility and uncertainty of the banking industry. Although East West is certainly not immune to the impact of the unprecedented decline in real estate values and market turbulence, we believe that East West’s business model and balance sheet are very strong and position us quite well as this cycle bottoms out. Now I would like to share with you key points and accomplishments for the quarter including the timely capital issuance in April, our strong capital levels, strong liquidity and a summary of the comprehensive loan portfolio review completed during the quarter. I’m also pleased to share that we are returning to providing earnings guidance, which I will provide for the remainder of 2008 and for full year 2009. First, we successfully raised $200 million in a convertible preferred stock issuance during April of this quarter. This increase in capital resulted in a substantial increase in all regulatory capital ratios as of June 30. Our total risk-based capital ratio was 13.01%, our Tier-1 risk-based capital ratio was 11.04% and our Tier-1 leveraged capital ratio was 10.01%. These capital ratios are among the best in the industry. Additionally, our total tangible equity to tangible asset ratios increased to 7.96% one of the highest tangible equity ratios among our peer banks. Second, we strongly believe that our current capital levels and strong quarter earnings will enable East West to weather this economic cycle without having to go back to the capital markets to raise additional capital. We announced on Tuesday that we are maintaining the quarterly common stock dividend at $0.10 per share or a $6.3 million dividend payout. Recently there have been announcements by many financial institutions on dividends cut as market valuations have decreased and capital preservations have become critical. We performed a sole analysis of our capital, balance sheet, liquidity positions and forecast earnings and are confident that our robust capital levels maintaining the dividend payment in August is the appropriate course of action. We realize that the volatility and the stock price have been challenging for our shareholders and believe that the dividend payments reflect our commitment to return value to our shareholders and reflect our confidence in the future of East West. Third, the overall liquidity of East West Bank remains very strong. As of June 30, 2008 we had $1.7 billion in excess borrowing capacity and will be increasing this further. We will continue to reduce our land and construction loan balances to reduce credit exposures and focus on deposit growth as a way of freeing up capital and increasing liquidity. Fourth, during the second quarter we completed a comprehensive review of all loan portfolios. Let me start by discussing the two loan portfolios that have been most significantly impacted by the real estate crisis: Land and construction loans. I will also address each of the other loan portfolios and how they’re performing. As part of the loan review, we ordered new third party appraisals for our land and residential construction loans and hired a national accounting firm to perform an independent review of our land and residential loan portfolios. Loan by loan management at the bank reviewed 100% of all these loans. During the quarter we recorded provision for loan losses of $85 million. Of this amount $65.3 million or 77% was allocated to the land and residential construction portfolio. As of June 30 we had $625 million in land loans and about $1.5 billion in construction loans. Out of that $1.5 billion in construction loans, $1 billion are residential construction projects and the remaining $500 million are commercial construction loans. Our underwriting standards are conservative and average loan-to-value were 47% for land loan and 69% for residential construction loans at the date of loan origination. Some loans in the portfolio have been impacted by the downturn in the residential real estate market, and in a proactive measure we obtained new third party appraisals for these loans. We have calculated new updated appraisals based on the current book sale value. Book sale appraisal value takes the estimated retail sales, subtracts expenses to derive the net cash flow, discounted cash flows using market discount rate and debt factor in developer’s profits. Based on these discounted values the current average market loan-to-value is now approximately 70% for land loans instead of 47% and approximately 84% for residential construction instead of 69%. Although there has been deterioration in the markets, the facts have been minimized in our portfolio because the original loan-to-value was so much lower. So even today we still feel that the loan-to-value as of today with this new appraised value is basically at a level that will be able to minimize the losses much better than many other banks. In addition, almost all land and construction loans require a personal guarantee from a borrower and that will also help to reduce problems in our overall portfolio. Additionally as part of our ongoing internal analysis of credit risk exposure, we have performed various stress case modeling scenarios for our land and residential construction loans. These stress tests include assumptions on probability of default and further decline in real estate values in the next few quarters. Based on the result of the credit review, the updated appraisals received and our internal stress case analyses we are comfortable that as of June 30 we are well reserved and will be able to meet future credit challenges with significantly less credit provisioning than the first half of the year. To continue the comprehensive review of our loan portfolio we have also ordered new third party appraisals on all of our commercial construction loans. This project is well underway and as of this morning we have received approximately 77% of the new appraisals and an independent review of almost all of the loan files has been completed. We are pleased to report that collateral deficiencies and credit concerns are very minimal in our commercial construction portfolio. Additionally if you look at the table attached to the press release, you will see that we had zero charge offs and zero non-accrual commercial construction loans during this quarter. Now let’s go to commercial real estate, CRE. Currently we have $3.4 billion or about 40% of our loan portfolio that is commercial real estate. Again if you look at any credit metrics for this loan category, you will find that our CRE portfolio is performing extremely well. We had zero charge offs in this portfolio year-to-date. In fact we have not experienced any charge offs in our commercial real estate portfolio since 2005. As of June 30, 2008 we had only $18 million or 21 basis points of non-accrual. Additionally we have obtained updated appraisals for virtually all of our non-acrrued and problematic commercial real estate loans which indicated potential lost content of only about $1.4 million. We have already reserved for this potential loss as of June 30, 2008 and feel very comfortable that our income producing commercial real estate loan portfolio is holding up very well. C&I and trade finance loans. We have experienced a slight increase in C&I loan delinquencies. Of the total $7.7 million loan delinquencies 90 days or more $3.5 million were SBA loans. For the remaining of C&I over 90 days only $4.2 million. As of June 30, 2008 total SBA loans were only $21.9 million and an increase in the 90 days or more delinquency was primarily due to one loan. Excluding SBA loans non-accrued C&I loans were a mere 4 basis points. Our trade finance loan portfolio is performing very well. Nonaccrual trade finance loans are virtually nonexistent at only $621,000. Again we have already reserved for any potential losses or deficiencies at the end of the quarter. Let me go to single family residential, multi-family and consumer portfolios. At East West the credit performance of our single family, multi-family and consumer loan portfolio is substantially different and much healthier than many other banking institutions. Total nonaccrual loans were only 8 basis points for each of the single family, multi-family and net charge-offs were very low at only 5 basis point for our single family, multi-family. Additionally many banks are currently faced with extremely challenging consumer and home equity portfolios. We have had a very low level of charge-offs in the consumer portfolios and the delinquency rate of our consumer loan portfolios is extremely low with nonaccrual loans at only $476,000. We were recently recognized by FNL as having one of the best performing HELOCs portfolio in the nation as of the end of the first quarter. I’m pleased to report that at the end of the second quarter this still holds true. I have spoken extensively about our loan portfolio, balance sheet and capital strength and hope I have addressed concerns from investors they may have about the loss content of our loan portfolio. Given the unprecedented market conditions facing the industry, we understand these concerns. East West Bank has a firm understanding of its credit exposure and has been aggressively and actively managing this risk. We are building reserves proactively and aggressively dealing with all loans with an early sign of [inaudible] and working diligently to quickly resolve problem credits. Additionally we’re actively reducing our loan portfolio. As of today the land and construction portfolio are about $60 million lower than June 30. On a final note I would like to discuss our expectations for the remainder of 2008 and provide an early indication of what we expect for 2009. We currently estimate earnings per share for the third quarter of 2008 will range from $0.08 to $0.10 and that earnings per share for the fourth quarter will range from $0.11 to $0.13. This guidance is based on a projection of net interest margin of 3.11 to 3.16 for the remainder of the year with a full-year net interest margin ranging from 3.28 to 3.32. Additionally we believe that over the remainder of the year provision for loan losses will be at a reduced level from the first half of the year. We currently estimate the provision for loan losses will be about $30 million per quarter for the remainder of 2008. At this point we also feel comfortable in providing initial guidance for 2009. In light of market conditions and our strong capital base we believe we are about a quarter and a half ahead of our competition in dealing with problem credit and recognizing appropriate provision for loan losses. We anticipate the real estate market decline to continue through year end but at a slower pace than what we have dealt with as of today. Given this we believe there will be ample opportunities for us to potentially acquire one or two small banks in the second half of 2009. An acquisition in conjunction with organic loan growth in 2009 will likely increase assets in low double digits year-over-year. Consequently for full year 2009 we believe that earnings will range from $1.35 to $1.40 per share. These are very challenging times for bankers and industry volatility is often accompanied by investment opportunities. At East West we have much work to do for the remainder of 2008, yet I’m confident that we will come out of this cycle a better bank and one that is poised to capitalize on future market opportunities. With that I will now turn the call over to Tom who will discuss our second quarter 2008 financials in more depth.
Thomas J. Tolda: I’d like to start with our second quarter reported net loss of $25.9 million or $0.41 per share. Our net earnings are only preliminary only to the extent that we are determining whether a goodwill impairment charge if any is required at June 30. Due to the volatility in our stock price a goodwill impairment analysis is necessary at this time. This analysis is currently being reviewed and will be completed very shortly. If goodwill impairment were to occur, it would be a non-operating non-cash event that has no impact on the bank’s regulatory capital levels, cash or liquidity. This is the first reported loss for the company since 1981 and the primary driver was an outside $85 million provision for loan losses for the quarter and a $9.9 million charge for other than temporary impairment on certain securities within our investment portfolio. East West started building the allowance for loan losses in the fourth quarter of 2007 elevating the provision in the first quarter of 2008 to $55 million. The higher levels of provision are a significant departure from the low level of provisioning in the not-too-distant past. We long for the good old days to return. Dominic already discussed in depth the extensive loan review that was undertaken as we were coming out of first quarter. Given the challenging market climate in conjunction with the loan review we felt that it was very appropriate to increase our provision for loan losses in second quarter. In second quarter we booked the $85 million provision and charged off $34.8 million of which $32 million related to land and construction. The only significant distressed geographic region we have loans in continues to be the Inland Empire. In fact $29 million of the $32 million in land and residential construction charge-offs were for land and construction located in the Inland Empire. Our total charge-offs of $34.8 million for the quarter compared to $25.4 million earlier in the first quarter. We have built our allowance for loan losses to $168.4 million almost twice what it was at the year-end 2007. The allowance is now 1.95% of total loans versus 1.32% at the end of the first quarter. Nonaccrual loan balances are $170.8 million up $112.9 million with the largest change coming from the land and residential construction portfolio. We have discussed that we are continuing to aggressively manage our balance sheet. Since December 31, 2007 we have decreased our total loans outstanding by $189 million to $8.7 billion. We have encouraged some weaker borrowers to refinance elsewhere and intentionally slowed new loan production. We feel that this is a prudent course of action during this challenging and difficult environment for all the industry. We anticipate that these portfolios may continue to trend downward through the remainder of 2008 if the market continues to drag. I’m going to shift gears for a moment and discuss trends in deposits. Although the market competition for deposits remains intense, East West grew its deposit base $200 milling with average deposits increasing from $7.3 billion during the first quarter to $7.5 billion during the second quarter. During the second quarter we introduced several deposit campaigns and promotions which helped increase and retain customer balances. As we continue to focus on deleveraging and reducing credit risks and exposures, the generation of core deposits will remain a strong focus for all East West Bank team members. As of June 30, 2008 our total loan-to-deposit ratio decreased to 115% from a high of 120% in December of 2007. By decreasing loans and increasing deposits we are freeing up capital and further strengthening our balance sheet. In second quarter East West total revenues including net interest income and non-interest income totaled $105.6 million in comparison to $115.5 million in first quarter. Net interest income was $92.2 million in second quarter, down $7.4 million from prior quarter. This decrease is attributable to net interest margins that declined from 3.63% in first quarter to 3.33% in the second. The 30 basis point squeeze in the margin is primarily due to the recent substantial Fed Fund rate cuts. The pricing of deposits lagged the resets on our variable rate loans so any interest rate reductions initially negatively impact our margins until the downward re-pricing of deposits catch up to the loan resets. Further, higher interest reversals on nonaccrual loans and lower margins on the reinvestment of loan payoffs into lowering yielding treasuries also contributed to the margin squeeze. As liquidity continues to build for the remainder of 2008 our strategy will be to use excess cash to reduce higher costs, long-term FHLB borrowings. We have $190 million of long-term FHLB borrowings maturing before end of the year and will be paying these off with more to come in 2009. In second quarter we sold $234 million of agency mortgage backed securities from our available for sale investment portfolio and recognized a gain on sale of $3.4 million. At the same time we also recorded other than temporary impairment of securities in our investment portfolio. As noted in our press release these securities were comprised of Fannie Mae and Freddie Mac preferred stocks which were written down $8.4 million. We also experienced a charge of $1.5 million on pooled trust preferred securities, also determined to be other than temporarily impaired. We are confident that the charge-off on the agency preferred stock will be recovered as Fannie and Freddie continue to pay their dividends. Non-interest expenses were $65.6 million in second quarter. Excluding the impact of the non-cash OTTI charge on agency preferred stock, expenses were $55.7 million. This compares to the first quarter $52.9 million that was favorably impacted by a $3.2 million expense accrual reversal. Adjusting for this in first quarter on a comparable basis, expenses were down $400 million after absorbing higher costs of credit cycle expenses. For the quarter credit cycle expenses totaled $3.6 million and included appraisal and consulting costs of $2 million, legal costs of $1.3 million and subsequent REO write-downs of $504,000 for the quarter. Management is maintaining focus on expenses and anticipates overall costs to decline through the remainder of 2008. Included in our income tax line is the write-off of a $7.1 million tax receivable for a tax refund claim stemming from a regulated investment company or RIC. The California Franchise Tax Board denied our claim. This write-off does get the benefit of a federal tax deduction; therefore second quarter’s tax credit against pre-tax losses is reduced by $4.6 million and is included within the preliminary net loss reported for the quarter. I’d like to conclude by briefly discussing some of the key initiatives that we are undertaking to manage the balance sheet. We remain focused on growing core deposits and reducing our risk exposures. As of June 30, 2008 our total risk-based capital reached 13.01% or $331 million more than the 10% regulatory requirement for well-capitalized banks. That’s a large cushion. Generating and preserving capital will remain a focus for management as we steer the bank through this challenging market and gear up for new growth and opportunities in 2009. I will now turn the call over to Dominic once again.
Dominic Ng: Again I would like to thank everyone for joining the call today. And now Tom, myself, Irene and Julia, we’re all available to answer your questions.
Operator: (Operator Instructions) Our first question comes from Brett Rabatin - FTN Midwest Securities Corp.
Brett Rabatin - FTN Midwest Securities Corp.: I wanted to first ask, in the past you guys have given the number for I guess you call it substandard but I was curious if you’d given any additional color on delinquencies or however you want to say it, special mention, substandard, watch list loans?
Julia S. Gouw: As expected in terms of the trend on the delinquencies, we do expect delinquent loans will continue to go up in the third quarter and possibly fourth quarter. But so far if you look at the delinquencies as of June 30, the majority of the nonperforming are in the land and construction which we already accounted for all of the portfolio, the entire portfolio, in the reserves. So if the nonperforming continue to go up in the same category land and construction, we do not need to increase the reserves dramatically because it has been accounted for.
Dominic Ng: Let me just also highlight that. We currently already know exactly which specific loan like land or residential construction loans that potentially may be impaired. Now many of those that we actually set up specific reserve today frankly are still paying as agreed but since they are identified that there are maybe collateral deficiencies, we go ahead and set the reserve for it. It is for that reason that the provision is substantially higher than the charge-offs because while we don’t really know exactly what will happen for some of these loans yet, we go ahead and book the reserve now. Here’s what’s going to happen. If on some of these loans somehow the borrowers decide to get that taken care of by shoring up additional equity, then we’ll have no problem. While there are other possibilities that there’s a likelihood that they just work with us and somehow we can just through loan sale or maybe work out a discount or maybe there are other ways that we’ve got to resolve or we were quickly able to foreclose. There are other scenarios that if we get into a situation that the borrower is not able to make the payments or shore up additional equity to cover the deficiency but for whatever reason because there is so much equity that they have put in and they really wouldn’t want to let go, then it gets messy because they may file bankruptcy to delay, to stall and then we would not be able to foreclose. Now under the different circumstances it will affect our NPA because if there are more properties that because customers have so much equity tied in and they wouldn’t want to let go and they want to use a legal process to slow the process down, then we may have more NPA sitting there; we’re not able to foreclose on it; and therefore we’re not able to sell it. On the other hand if the process is smoother, so far what we’ve found is that whenever we get REO coming in we’re able to get it out pretty quickly. So if we’ve got five REO coming in and we have those five out; in fact, currently as of today we already have two or three of the REOs that are sitting in here right now already under contract that we were able to get out. So on one hand I think that we are trying the best we can to get these inventories moved or lower the NPA but I think to a certain degree, how the third quarter and fourth quarter appear to look like would depend on how quickly we can take these properties in or to a certain extent whether we can actually work some of these problems out or cure them to be current rather than be chronic. But all in all I would say that in terms of loss potential the bottom line is that we either have to sit in reserve or we have already charged off. One way or the other we have them covered.
Brett Rabatin - FTN Midwest Securities Corp.: Okay. Maybe we can follow up offline a little bit about substandard and impaired loans. The other question I wanted to ask was about the charge-offs you did take that were obviously concentrated in the Inland Empire. I was curious if the reduction in the land, the $625 million, if that was almost all a function of the charge-offs and reductions that you had in the Inland Empire and what that portfolio looked like at the end of the quarter.
Dominic Ng: Obviously we had charge-offs on the land loans.
Julia S. Gouw: We charged off a total of $35 million out of that. Land and construction is $32 million and for the land and construction 90%, $29 million, came from the Inland Empire. So you can see that Inland Empire is the most distressed area but I’m pleased to assure you the risk in the portfolio would be residential and land loans in the Inland Empire. The residential construction in the Inland Empire has gone down from last quarter $116 million to only $86 million and we only have $122 million in residential land in the Inland Empire. So in total this $200 million would be what we consider the riskiest portfolio.
Dominic Ng: And also Brett, very specifically to your question the land loans we have $16 million charge-offs in the second quarter but the land loan balance has dropped much more than $16 million. So we have pay-down plus also charge-offs that reduce the loan balance. In fact we expect the land loan balance will go down even further in the third quarter and the fourth quarter.
Operator: Our next question comes from Andrea T. Jao - Lehman Brothers.
Andrea T. Jao - Lehman Brothers: I’d like to start with the total land loan exposure at the end of June 30; did you say $620 million?
Julia S. Gouw: Yes.
Andrea T. Jao - Lehman Brothers: With nonperformers at $72.6 million, how much reserves do you have allocated to that portfolio?
Julia S. Gouw: In total our allowance we have is $90 million for the land and construction portfolio so we have a substantial reserve allocated to the land and construction.
Andrea T. Jao - Lehman Brothers: As I understand, you will continue to look at your loan portfolio on a file-by-file basis. What happens in the third quarter and is there anything else to do in the fourth quarter such as the commercial business book?
Dominic Ng: The commercial business loans, actually we started the process of looking loan by loan since the beginning of the year. That’s a much tedious process. In fact that is something that we continue to even on a weekly basis our lending officers and our chief credit officers together with a few of the senior management have continued to review those loans and in fact that’s the reason why the C&I loans and the trade finance loan balance have reduced since December 31, 2007 gradually to where we are today. Because what we have done is when we identify C&I and trade finance loans that we feel that is weaker than our expectation in a very difficult and challenging economic environment, we have asked the account officers to help the customers to move on to other financial institutions. That has been very successful simply because in today’s environment everybody wants C&I and trade finance loans, and obviously it’s much harder to do that for land and construction. So that is also a good reflection why we have so little delinquency and over 90 days for C&I and trade finance because it is an active process for the last six months to get it down. And we will continue to be vigilant because C&I loans and trade finance loans is something that you just can’t put them off for three or four months and then come back and look at it. It will be a continuing reduce cycle and loan by loan.
Thomas J. Tolda: What I could also add to Dominic’s comments is just that given the appraisal updates that we have received, first off we do get a number of appraisal updates over the course of quarters and in addition our intent is to index those appraised values that we have thus far obtained for which we don’t have newer appraisals coming in in say the third and fourth quarters. So we are going to try to keep those as fresh as we can with using an index.
Operator: Our next question comes from Joe Morford - RBC Capital Markets.
Joe Morford - RBC Capital Markets: I guess I’m just still a little confused. The provision guidance for the second half of the year is around $30 million a quarter. I’m just trying to understand exactly what’s driving that. Is it just replenishing the reserve for what’s expected in terms of net charge-offs or maybe is there more to the stress test that you can talk about?
Dominic Ng: We have basically feel that we are very accurately reserved right now so we’ve got every loan marked down that we need to be marked down. Whether they are performing or not performing if we see some deficiency we mark them down. So that’s what we’ve done so far. However we look at the current market condition today, we don’t see this market improving. We don’t even see this market stabilizing. We see this market is still going to be declining. With that in mind we just think that it is only prudent for us to set additional reserve to cover some potential market deterioration that will go further. Now keep in mind that what we see at this point is that this is our analysis that the first six months market decline in terms of real estate values in Inland Empire and throughout the California region has been very, very severe. We do not expect the market to drop in as dramatic of a fashion. Frankly some of these land loans that we have, if it dropped any further it would go negative. So it can’t drop anymore. So what we expect is that maybe if we look at it and analyze about a 10% to 20% decline and we take that into consideration with the stress test our model, and we feel that because of that we will need to have some reserve to cover further deterioration of the real estate market, that’s one, and then we obviously need to have some more to cover any other miscellaneous for the economic condition. So that together we need $30 million each quarter and that’s what we decided. But not to say that we have actually more loans that we think we have distressed that we haven’t covered yet. This is a one-time provision to take care of where we are today and then the future $30 million and $30 million is an expectation of further market deterioration.
Julia S. Gouw: Actually we feel that because we reviewed the portfolio 100% and used recent appraisals, in theory the market does not deteriorate any more we reserve all the collateral deficiencies for every single loan and not all of these loans are going to default and we end up taking the losses. So you would think that the $85 million reserve is the upper limit, the maximum limit in the event the market does not deteriorate because in addition to not all the borrowers will walk away and default just because there’s a collateral deficiency. We also used the opportunity of having the new appraisal value that is lower to go back to the borrower and ask them for more pay-down, more collateral, which what we saw in some of the loans will end up having no losses. However toward the guidance, we wanted to incorporate additional deterioration in the market values, the housing prices, to give the guidance. So we hope for the best, that the market does not go down that much and then we probably would not be booking even $30 million provision.
Joe Morford - RBC Capital Markets: In the guidance for 09, what kind of provision have you been assuming there?
Thomas J. Tolda: In 09 what we assumed is a provision of $20 million in the first quarter kind of tailing down to about the $10 million or $15 million level by fourth quarter.
Julia S. Gouw: The total’s $60 million. $20 million, $20 million, $10 million, $10 million so the total is $60 million which if the market has recovered, we probably don’t need to provide for that much. So it really depends on the market because you know in the past when the market was good we never had to book that kind of level of provisions even when we had 35% loan growth.
Dominic Ng: Let me just give you the assumption. The assumption is that the third and fourth quarter 2008, the market is still a mess. The first quarter of 2009 is still a mess and then what we’ll do is that we hope that by the latter part of the second quarter things finally bottom out and then everything stabilizes and then people actually see the light at the end of the tunnel going forward in the second half of 2009. Why then we do not need $30 million just like the fourth quarter and the third quarter of 2008 is because by 2009 we will ratchet down so many of these construction and land loans. We’ll charge them off or we’re going to have them paid off and there’s not going to be a whole lot left. Therefore at that point we just don’t need that much reserve. It’s not that there’s not going to be the severity of the decline that will call deficiencies; it’s just that the magnitude of the size of the loans will drop dramatically because we know there’s going to be a substantial number of loans which will be paying off in the third and the fourth quarters. And there will be continuation of that movement in the first and second quarter, and therefore by then we ought to be in a well covered situation even with $20 million and $10 million.
Julia S. Gouw: To add to what Dominic said about reducing the exposure on the construction and land loans, I also want to provide our commitment on construction peak in February at $2,560,000; it’s now at $2,140,000. So we are reducing the commitment balance by $400 million which is a substantial decrease in the exposure to the construction portfolio and we expect that it will continue to go down. And that’s why if you look at our outstanding balance on construction, we have been leveling off at $1.5 billion. A few months ago when we had the commitment of $2.5 billion you would expect that that balance will continue to inch up as the disbursements got paid out but as it turns out because we are reducing the commitment through either the sales of the property or refinancing when the projects are done, we reduced $400 million on the commitments in the construction portfolio.
Dominic Ng: And one of the reasons why it helps having these full reviews and then the appraisals and then full review of the credit on these construction loans and land loans is that our account officer can use the appraisal as a tool to go out there and work with the borrowers, because a lot of times we as lenders need to help advise borrowers to let them know that “Look, are you sure you still want to go forward with this project? Because it doesn’t look very good right now,” without having the most up-to-date appraisal, without doing a full analysis. And if we’re on cruise control we will be totally relying on our borrowers to at their discretion choose whether they would continue to get disbursed or not get disbursed and then I think we create more problems. So that’s why we have more than $400 million of reduction in the commitment. And as of today our lenders continue to be out there talking with borrowers to help reduce the commitments further and I believe that will continue to trend down in addition to the loan balances trending down.
Joe Morford - RBC Capital Markets: Just one housekeeping thing for Tom. What kind of tax rate should we be using beginning in the third quarter?
Thomas J. Tolda: I think beginning in the third quarter we can probably go back to the statutory tax rate. We do have some tax credits that continue to accrue to us but I don’t think you’d be far off if you use that.
Operator: Our next question comes from L. Erika Penala - Merrill Lynch.
L. Erika Penala - Merrill Lynch: The NPAs that you booked on your land and your construction book this quarter, how much of that was Inland Empire versus other markets?
Julia S. Gouw: We do not have the NPA in the Inland Empire. We can get that to you later.
L. Erika Penala - Merrill Lynch: I just wanted to confirm, once you classify the loan as nonperforming do you write it down to the newly appraised value including the disposition discount that you determined?
Dominic Ng: Yes. In fact, we do 100% mark-to-market. Every single land loan we look at the new appraisal and we looked at whether there’s deficiency or not and then we mark them down. So when we mark them down we also add disposition and commission costs at 8%. To give you an example, if you have a loan that let’s say has a $1 million balance and it has a $100,000 deficiency and we have $900,000 of new appraised value, so we have $100,000 of deficiency, what we do is we take the $900,000 new appraised value times 8% and then to get down to $828,000 and then using that as the net value and then with the $1 million that goes against it we have to book a reserve for $120 some odd thousand. And that’s how we do our formula.
L. Erika Penala - Merrill Lynch: I’m sorry if I didn’t catch this in the prepared remarks, but what was the average divergence in original appraisal and updated appraisal in land, lot development and vertical construction?
Dominic Ng: For land it is from 47% at the date of origination to now 70%. Residential construction loans went from 69% up to 84%.
L. Erika Penala - Merrill Lynch: The calculation of land LTV at origination, is the value calculated on just the value of the raw land or is the value calculated based upon the value of the project with the build out with the structure on top?
Dominic Ng: I think the majority of them are based at as-is value and then there are maybe a few of them that are based on whatever sort of project they’re working on and there’s some assumption that the appraiser used.
Julia Gouw: They never put the structure at the value but some of this land they value as if they are going to be built on. The reason that some of this land value now goes down dramatically is that [inaudible] because the property prices have gone down and this is land in an area where there was no electricity, sewer, utilities. They cannot or it’s not feasible to have fund financing to get the infrastructure in place so the development gets bounced and that’s the land that the value drops dramatically. But we never put the value of the structure as the value of the land. It’s usually the land is assumed that it is for development, so if the development cannot be done for different reasons or economic reasons, then the land value for a buyer then it would be a lot lower.
Dominic Ng: I think that the most important thing is that the current value we have is all asset backed.
Julia Gouw: Passive.
Dominic Ng: There is no assumption. So most of them were a great piece of land for development and now all becomes raw land. That’s what we have right now. Because what we’re doing is we looked at the asset value and the current value that we use is what matters because that’s what we provide reserve to and that’s what we use to determine value for if we need to entertain offers for selling this as an REO if there’s a note-to-note, etc.
L. Erika Penala - Merrill Lynch: Could you share with us under your stress scenario what you are assuming for probability of default and a loss severity upon default?
Irene Oh: For our stress case what we looked at are a couple scenarios. One, a 10% annualized decrease in the value and another 20%. And severity and default the probability we’ve done that based on - obviously we’ve got very detailed information about the loan on a loan-by-loan basis, also classifications.
Thomas J. Tolda: The probability of default will vary by portfolio, will vary by geography, and therefore answering that question directly makes it a little bit more challenging.
Dominic Ng: In fact we do a one-by-one loan-by-loan review on the land and residential construction so we really are looking at it in a very different way than using any kind of extrapolation. Because the fact is we actually are looking at these loan-by-loan.
Irene Oh: One more thing Erika I want to clarify is our analysis which shows that we have a total provision of about $30 million a quarter factors in that all the loans that show a deficiency, a decrease in value, probability of default is 100%. We’ll see in actuality if the market comes out a little bit better, maybe that’ll be a little lower.
L. Erika Penala - Merrill Lynch: One more housekeeping question if I may. The $620 million land total that you gave, does that include land for commercial development?
Dominic Ng: Yes. For land we looked at both commercial and residential. They’re right around 50/50.
Operator: Our next question comes from James Abbott - Friedman, Billings, Ramsey & Co., Inc.
James Abbott - Friedman, Billings, Ramsey & Co., Inc.: A question on the REO sales. Could you give us a sense as to what the gain or loss has been there relative to the valuation marks that you had taken?
Thomas J. Tolda: The REO sales that we’re getting off the book are going off as essentially the written down value so we’re not taking much of a haircut at all once we’ve written it down at the inception here. So they are going off at the carry value at that point.
James Abbott - Friedman, Billings, Ramsey & Co., Inc.: And the ones that are under contract, that would apply as well there?
Julia S. Gouw: Yes. That definitely what we have on the REO as of June 30 that currently are under contract, most of them are slightly above.
Thomas J. Tolda: We’ve seen some gain and we’ve seen some loss, but on the average it generally is coming in very close to the book.
James Abbott - Friedman, Billings, Ramsey & Co., Inc.: A couple of questions on the sensitivity of the provision. I think I understand the 10% and the 20% concept. If it were to be less than that, how sensitive is that? Does it go from $30 million to $20 million? In other words, if you use the 10% number -
Thomas J. Tolda: Sure. My recollection was that at 10% we were looking at potentially $13 million, in that range, and at the 20% level we were at roughly $20 million. This is for land and residential construction. The remainder of that provision forecast would be for other portfolios.
Dominic Ng: Or for whatever is needed.
James Abbott - Friedman, Billings, Ramsey & Co., Inc.: Last question is on the bank trust preferred portfolio. Could you give us some detail about what that is and how that’s structured and how much that dollar amount is? It appears in the 10Q but there wasn’t a lot of detail in the 10Q on that. What the challenges are? How you’re valuing that? A question that a lot of companies are having this quarter.
Julia Gouw: The majority of them are the pool trust preferred. We have a small amount of single issuers [inaudible] that we bought a long, long time ago. The majority of the pool is bank trust preferred and we have about $128 million in total. Because those are debt with maturity we would book impairment if we believed that it’s not collectible. So we have performed analyses that incorporated all the deferrals as of June 30 assuming that they are default. And that’s what we booked is a $1.5 million impairment charge. We believe that some of them will get back because one of the defaults was a bank that has been sold, so when the new buyer assumes and pays all the back interest there will be some recovery on those impairments.
James Abbott - Friedman, Billings, Ramsey & Co., Inc.: And the tranches on those? Can you break down the $128 million by tranche?
Julia S. Gouw: A lot of them are mostly the BBB or A tranches.
Thomas J. Tolda: We can get back to you with that breakdown after the call if you’d like.
James Abbott - Friedman, Billings, Ramsey & Co., Inc.: There’s a lot of concern that a lot of banks maybe haven’t deferred or defaulted at this point but their various ratios, maybe their risk-based capital ratios or the nonperforming asset to equity ratio, etc. are climbing very quickly so some banks have used that as a guide to try to value stuff that hasn’t been technically deferring or defaulting. Any considerations on doing something like that going forward?
Julia S. Gouw: We would probably run it and make assumptions on the defaults because many of them still have support from the cash loan and the subordination. We would assume that anybody that has deferred to default 100% because when it comes to the accounting you don’t do credit impairments until you see that the [inaudible] have potential failings as a result of deferring to default. Usually they would defer first before they default.
Thomas T. Tolda: We’ve anticipated some default in the guidance that we’ve provided.
Operator: Our next question comes from Aaron Deer - Sandler O’Neil & Partners.
Aaron Deer - Sandler O’Neil & Partners: I was hoping you could comment a bit more on your review of the commercial construction portfolio. First of all it sounded, if I heard you right, that you said that there are no deficiencies or there were no changes in your gradients as a result of the review thus far. I’m wondering what kind of trends you’re seeing in terms of appraisals on those properties differentiated between the more urban markets versus the more outlying areas?
Thomas J. Tolda: We went out and solicited for all new updated appraisals. That process got going probably in the early part of June. I believe almost all are now done. And based on what has come back is that we have seen that the deficiencies in those appraised values versus the loan is actually quite minimal to the tune of maybe $1 million to $2 million kind of range. Quite small overall. That’s where we are. We feel pretty good about how those values are holding up.
Aaron Deer - Sandler O’Neil & Partners: What is it that’s holding up that? Because I was down there just recently driving through some of those markets and we saw quite a few newly completed strip malls and small office buildings and that sort of thing particularly out in Ontario and some of those further out markets, and I guess I’m surprised seeing the vacancy that we saw to hear that the appraisals are holding up that well.
Thomas J. Tolda: I guess a lot had to do with how we underwrote it. If we’ve got a low loan-to-value at origination, we would be protected; not to say there haven’t been devaluations out there but as long as we underwrote it well we would be protected in part.
Dominic Ng: For commercial construction loans, it was bank underwriting guideline has substantially lower loan-to-value than residential. Clearly on the residential side we have banking social pressure in terms of helping first-time homebuyers to get into their new homes and then obviously when we work with developers in the Inland Empire we tend to go with the high LTV if they were building track homes for first-time homebuyers. But contrarily to that, when it comes to developers who are building maybe a Walgreens or one of these big box tenants, we still are going to go with this 60% or 65% loan-to-value. So you have one situation that is the appraised value did not come down as much first of all which is very important. Secondly our cushion is higher. So what we have a 30% to 40% or 45% cushion and the value only came down 15% to 20%, we are in a position to see that it looks like the overall LTV might have inched up. But then we do not have deficiencies which is a little bit different than our scenario in the residential track home developments in this Inland Empire area because in those areas on the residential side, we have a high LTV 75%+ and then the value drops maybe 35% so suddenly we have more than 10% of deficiency. And that’s what happens.
Operator: Our next question comes from Julianna Balicka - Keefe, Bruyette & Woods.
Julianna Balicka - Keefe, Bruyette & Woods: Question about the Inland Empire exposure. You had referenced to outstanding loans in residential construction and in land. I was wondering what the commitments in Inland Empire were?
Julia S. Gouw: We don’t have the commitment. We can give it to you. [Inaudible] balance for the residential construction goes down from $116 million to $86 million.
Julianna Balicka - Keefe, Bruyette & Woods: So what would be the outstanding commitment behind that still?
Julia S. Gouw: We don’t have that with us right now.
Thomas J. Tolda: The only thing I’m thinking is these loans are aging. They’re pretty short-term assets so they’re getting older with each quarter that passes here. So I would suspect that the draw down is pretty high on these things at this point.
Julia S. Gouw: We’ll provide you that.
Dominic Ng: Most of them have been drawn down or they’re not proceeding any further.
Thomas J. Tolda: They’re frozen otherwise.
Operator: Our next question comes from Andrea T. Jao - Lehman Brothers.
Andrea T. Jao - Lehman Brothers: I was looking at the different drivers of the balance sheet in coming quarters and perhaps into the first half of 09. How much more do you think loans would run off? Do you see yourselves holding securities booked stable from here ex the securities you use to pay down full advances in 4Q and 1Q? And then what does that translate into in terms of overall balance sheet growth?
Thomas J. Tolda: In putting the guidance together we do anticipate that loan balances would trail down to about the level of $8.1 billion at year end; $8.1 billion to let’s call it $8 billion. We think that that’s a reasonable sort of projection. And as we head into the new year we do as Dominic had mentioned earlier the early part of the year sort of continuing to be quite troublesome but then we are anticipating turnaround in the latter part. So we do thing we can begin to get back into the sort of turning on the loan generation at that point and that would be a particularly timely moment because we do believe that the market will have largely stabilized at that point.
Andrea T. Jao - Lehman Brothers: So loan run-off until mid-09 and then you go back to growth mode hopefully by the back half of 09 depending on the environment?
Thomas J. Tolda: Yes. Maybe a little bit earlier. Maybe the decline earlier than that; a little bit earlier than that.
Andrea T. Jao - Lehman Brothers: Securities flat ex -?
Thomas J. Tolda: No. Securities will build as long as we are deleveraging here and taking down the loans at the same time. So I do see the securities continuing to increase. And we saw some of that in second quarter.
Andrea T. Jao - Lehman Brothers: So that translates into relatively flat earning assets?
Thomas J. Tolda: Yes. However that will start to actually work to our advantage where some of the higher cost borrowings from FHLB will begin to mature. We have some maturing in the fourth quarter, more maturing in 2009, and the trade-off between the short-term overnight investments and then substituting that with the matured borrowings would actually give us a margin increase.
Andrea T. Jao - Lehman Brothers: So in 4Q as well in 1Q09 a couple hundred million dollars coming off on both the borrowings and the security side per quarter?
Thomas J. Tolda: I think that’s reasonable to assume.
Andrea T. Jao - Lehman Brothers: And then separately and my last question, what’s the statutory tax rate to use for the full year?
Julia S. Gouw: The statutory tax rate is 42% for [inaudible] but we have about $6.5 million in tax credits that is not dependent upon whatever rate. So because of the losses that we booked on the provision, the total pre-tax income would be lower. So the effective tax rate was pretty low this year only because the tax credit of $6.5 million can be used on no matter what the rate is.
Andrea T. Jao - Lehman Brothers: So somewhere between 10% to 15% in terms of effective?
Julia S. Gouw: Yes. Fairly low.
Thomas J. Tolda: For this year.
Dominic Ng: We can give you the number later on.
Operator: You have no further questions at this time.
Dominic Ng: Again I want to thank everybody for joining our call and we’ll look forward to speaking with you again in the next quarter conference call. Thank you.